Operator: Good morning, and welcome to the Enviva Partners LP Second Quarter 2020 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, you will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the call over to Wush Ma, Vice President and Treasurer. Please go ahead.
Wush Ma: Thank you. Good morning, and welcome to the Enviva Partners, LP second quarter 2020 financial results conference call. We appreciate your interest in Enviva Partners and thank you for participating today. On this morning's call, we have John Keppler, Chairman and CEO; and Shai Even, Chief Financial Officer. Our agenda will be for John and Shai to discuss our financial results released yesterday and provide an update on our current business outlook. Then we will open up the phone lines for questions. Before we get started, a few housekeeping items. During the course of our remarks and the subsequent Q&A session, we will be making some forward-looking statements, which are subject to a variety of risks. Information concerning the risks and uncertainties that could cause our actual results to differ materially from those in our forward-looking statements can be found in our earnings release issued yesterday in the IR section of our website as well as in our most recent 10-K and other filings with the SEC. We assume no obligation to update any forward-looking statements to reflect new or changed events or circumstances. In addition to presenting our financial results in accordance with GAAP, we will also be discussing adjusted EBITDA and certain other non-GAAP measures pertaining to completed fiscal periods as well as our forecast. Information concerning the reconciliations of these non-GAAP measures to the most directly comparable GAAP measures and other relevant disclosures are included in our press release issued yesterday. I would now like to turn it over to John.
John Keppler: Thank you, Wush. Good morning, everyone, and thanks for joining us today. Well, COVID-19 continues to dominate news headlines, we are very proud of what we've been able to accomplish in the last few months here in Enviva. First, we've kept our people healthy and safe. This has enabled us to keep our plants and ports running 24/7, and our supply chain humming. The durability and resilience of the business model we have built ensured that we delivered operating and financial results that are right on track with our expectations, including printing at 39% increase in adjusted EBITDA over the same period of last year. We also continue to execute on our growth strategy, closing two transformative acquisition and completing the associated equity and debt financing activities, despite heightened market volatility. Based on the expected adjusted EBITDA run rate of $56 million to $60 million by 2024, the combined price for the Greenwood and Georgia Biomass acquisitions implies an attractive six and a half times EBITDA multiple. Pasting forward on the expected accretion from these transactions, our Board declared a distribution of $0765 per unit for the second quarter, which represents our 20th consecutive distribution increase and is 16% higher than the distribution for the same quarter of last year. In addition, we reaffirmed our full year 2020 adjusted EBITDA and distributable cash flow guidance, as well as our expectation that we will distribute at least $3 per unit for full year 2020, which would maintain the 13% distribution CAGR we've delivered center IPO over five years ago. The recent acquisitions increased the partnership's production capacity by one-third, and extend the partnerships fully contracted revenue backlog to $15.3 billion with a weighted average remaining contract term of 12.7 years. Recognizing that there is still tremendous opportunity ahead of us, our sponsor, which has played a highly supportive and critical role underwriting the growth profile of the partnership, has recently completed a recapitalization transaction with a diverse group of global investors. As a result, it now has $300 million of new equity available to finance future growth, including construction of its significant pipeline of additional wood pellet production plants and deepwater marine terminals to meet the growing demand in our existing markets, and fast emerging demand in new markets. By Design, the partnership expects to have the opportunity to acquire these fully contracted assets and the associated long term offtake agreements in future drop in transactions. In visa, it’s leading an industry that plays an increasingly critical role in the global fight against climate change. The climate benefits of sustainably produced wood pellets and the transparency of our sustainability and supply chain practices, really our ESG attributes are garnering international recognition by regulators, policymakers, academics, researchers and investors alike. Notably, Jeff Evans value spring fund, now inclusive capital. The leading ESG dedicated fund anchored our recent equity issuance, and we are delighted to add Jeff to the partnerships board of directors. I will take some time at the end of this call to provide more details on the recent acquisitions, the long term market drivers our sustainability practices and development activities taking place of the partnership and our sponsor. But I would like to now turn it over to Shai, to discuss our financial results for the second quarter.
Shai Even: Thank you, John. For the second quarter of 2020, net revenue was one in $167.7 million is compared to $168.1 million for the corresponding quarter of 2019. The model change was merely attributable to an increase in sales volume of vorster lead produced by the soft tissue facilities, and a similar reduction in sales volume of botellas procured from third parties. During the second quarter of 2020, we also recorded $12.1 million of other revenue, which included $8.9 million in payments from customers associated with modifying shipments and the take home pay off state contracts, which otherwise would have been presented in product sales. For the second quarter of 2020, gross margin was $27.7 million as compared to gross margin of $16.5 billion for the corresponding period of 2019. Adjusted gross margin was $42 million for the second quarter of 2020 as compared to $28 million for the second quarter of 2019. Adjusted gross margin per metric turn was $49.55 cents for the second quarter of 2020 as compelled to $32.26 cents for the second quarter of 2019. The increase in adjusted gross margins from, acetone was mainly due to federal customers' contract mix, as well as an increase in sales of pellets produced by the partnership and a similar reduction in sales of pellets produced from third parties. Net income for the second quarter of 2020 was $8.5 million as compared to net loss of $3.8 million for the second quarter of 2019. Adjusted net income was $8.7 million for the second quarter of 2020 as compared to adjusted net income of $7 million for the corresponding quarter of 2019. For the second quarter of 2020, the partnership generated adjusted EBITDA of $37.4 million, an increase of 38.7% from the second quarter of 2019. The increase in adjusted EBITDA was primarily driven by the same factors that contributed to the higher adjusted gross margin. Distributable cash flow, prior to any distributions attributable to incentives distribution rights paid to our general partner was $25.9 million, which results in the second quarter of 2020 distribution coverage ratio of 0.61 times. At the end of the second quarter, as the result of the successful equity issuance, John just mentioned, we had approximately $98 million of cash on hand with no balance outstanding under our $350 million revolving credit facility. On the heels of our solid second quarter financial results, and the successful closing of the Greenwood and Georgia Biomass acquisitions, the partnership reaffirm’s the increased full year 2020 guidance we provided in June. We continue to expect full year 2020 adjusted EBITDA to be in the range of $185 million to $195 million and distributable cash flow to be in the range of $134 million to $144 million prior to any distributions attributable to incentive distribution rights paid to our general partner. The partnership also reaffirms our June guidance to distribute at least $3 per common unit for full year 2020. The guidance amounts do not include the impact of any additional acquisitions, or dropdowns. As we've said in the past, seasonality and the mix and timing of customer shipments can impact results, which may vary from quarter-to-quarter. Consistent with prior years, we expect the second half of 2020 to be a significant step-up from the first half even before accounting for any post acquisition contribution from our recently acquired Greenwood and Waycross plans. We have remained largely unaffected by the effects of COVID-19 pandemic on the global economy and capital markets. In fact, we were able to successfully issue $200 million of equity at a tight discount, and $150 million taken to our existing 2026 fixed bond at a strong premium in an extremely volatile market. We believe we were able to execute this transaction, because of the increasing recognition of this fully contracted and fast growing nature of our business, which has no material exposure to the price of crude oil, natural gas, or other energy commodities. As demonstrated with the Greenwood and Georgia Biomass acquisition, we remain focused on financing growth with a 50/50 equity debt split in order to maintain a conservative leverage ratio of 3.5 times to four times and distribution coverage ratio of 1.2 times on a forward-looking annual basis. And we expect a full year 2020 distributable cash flow to cover 2019 distribution by at least 1.2 times. Now, I would like to turn it back to John.
John Keppler: Thanks, Shai. The Greenwood and Georgia Biomass acquisitions significantly expanded the partnerships production footprint, which now includes assets and operations in the robust fiber baskets, in the states of South Carolina and Georgia. The partnership now owns and operates, nine fully contracted plants and exports from our wholly owned terminals in Chesapeake, Virginia, and Wilmington, North Carolina. In addition to our contracted terminal capacity in Savannah, Georgia, Panama City, Florida, and Mobile Alabama. By adding the port of Savannah terminal to our portfolio, we will benefit from greater redundancy in our export capabilities and heightened ability to mitigate business interruption risks. We are also exploring developing another cluster of production facilities, around this strategic asset in a new fiber basket. With the two acquisitions and 1.4 million metric tons per year of Japanese contracts assigned by the sponsor they match the combined production capacity of the Waycross and Greenwood plants, our total contract backlog also increased by approximately $5.3 billion. These two plants come into the partnership fully contracted to 2035, with contracted volumes well into the 2040s. Our sponsor also recently executed a firm, 10 year 120,000 metric ton per year take or payoff a contract, with a major credit worthy electric utility in Japan. This contract, which has a new customer to an increasingly diversified sales book, brings the partnership and the sponsors combined on a contract backlog to almost $20 billion with a weighted average remaining term of 13.6 years. This tremendous growth in our business continues to be driven by the commitment and significant progress made by regulators, policymakers, utilities and power generators around the globe, to phase out coal, limit the impact of climate change and cut greenhouse gas emissions to achieve net zero by 2050. We believe these tailwinds will continue to lead strong growth and global demand for our product. The importance and impact we can have is demonstrable. For instance, in June, the United Kingdom completed a record breaking 67 day period without coal fired power. During this period, which was the longest period without coal, since the dawn of the Industrial Revolution, biomass provided approximately 11% of U.K. electricity on average. And up to 16% on days, when the availability of wind and solar were limited. And Germany, in July, passed the coal exit law to end coal fired power generation by 2030. The coal exit law lays out a rapid timetable, requiring an unprecedented shutdown of 43.9 gigawatts of currently operating coal capacity. The coal exit law also explicitly recognized the use of sustainable biomass as part of the transition and established a framework and a €40 billion program to support power plant owners, seeking to convert their plants from coal to alternative fuels, including biomass in Asia. Japan's-Mexi announced in early July, that the Japanese government would set policies aimed at the closure or suspension of low efficiency coal fired power plants by 2030. Following the establishment of a framework expected by the end of this year, it is estimated that approximately 100 power plants may be targeted for such closure or suspension, creating new potential opportunities for recycling this infrastructure, into biomass fire renewable power generating assets. In addition to international policymaking an action plan, the call for increased usage of biomass to reduce fossil fuel for generation, investors and the research community are also increasingly recognizing the carbon benefits of sustainably produced biomass. A few weeks ago, we shared an independent study by boundless impact investing, the third party research firms specializing in climate analytics for investors and it's recently peer reviewed and then published report boundless impact estimated that in the United Kingdom, power generation with wood pellets sustainably produced in the U.S. results in an 87% reduction in greenhouse gas emissions versus coal and 71% versus natural gas. The impact is even more pronounced and combined heat and power applications, reducing life cycle, greenhouse gas emissions, by as much as 94%. Part of the global opportunity at Vienna is to help stakeholders around the world. Better understand these carbon benefits. To that end, our Chief Sustainability Officer, Dr. Jennifer Jenkins recently led the publication of a white paper that provided a well-received overview of the scientific basis for using bioenergy to mitigate climate change, followed by two webinars on this subject, including during the EU sustainability weekend, late June. To meet demand for sustainably produced biomass within the partnership, we have begun commissioning several of the fully constructed new process islands, as part of the North Hampton plant expansion and expect to similarly begin conditioning, the Southampton plant expansions over the next several months. The anticipated benefits from these projects in 2020 is included in the partnerships, updated guidance and consistent with prior guidance beginning in 2021, we expect the expansions to deliver approximately $28 million to $32 million in adjusted EBITDA on an annualized basis. In a Greenwood procurement and detailed engineering activities associated with that plant expansion are well underway and the project remains on track for completion by year end 2021 subject to receiving the necessary permits. Finally, our sponsor also continues to progress the construction of the fully contracted Lucedale plant and the Pascagoula terminal, a civil work is underway and construction activities are ramping up at each site. Our sponsor expects the construction, the book projects to be completed midyear 2021. In addition, our sponsor expects to make a final investment decision and condense pre-construction activities around the end of 2020 for the fully contracted abs plant. In summary, we had a very busy and exciting core. As I mentioned during our last earnings call, we are a business built to weather mini storms, and we have certainly proven that again, amid a global pandemic that continues to evolve. We delivered a significant step up and adjusted EBITDA over the same period of last year, generating $37.4 million. We increased our distribution for the 20th consecutive core and we completed two transformative acquisitions and raise the associated debt and equity consistent with our conservative financial policies. Finally, we reaffirmed our recently increased guidance for the year and with the critical role we play the efforts by climate change. We are really just getting started. As I close, I want to thank the great people at Enviva for their hard work, continued dedication and ingenuity, and coming up with new processes, procedures, and work practices to ensure we keep our people healthy and operate our business uninterrupted, while at the same time, helping our communities as we worked through the coronavirus pandemic together. I'm privileged to be a part of a company with a strong business model, safe and stable operations and colleagues who will continue to make sure we can deliver on the promises, we have made well into the future. Thank you. Operator, can you please open the line for questions?
Operator: We will now begin the question-and-answer session. [Operator Instructions] First question comes from Elvira Scotto of RBC Capital Markets. Please go ahead.
Elvira Scotto: Hey, good morning, everyone. Can you maybe talk a little bit more about the potential opportunity for biomass in Germany? And how do you see that opportunity potentially playing out for Enviva? And have you been in discussions with any potential German customers?
John Keppler: Elvira, thank you very much. Great, great question. As we've described previously, Germany is a -- is a very important potential market for us. They have been underway with some time, having made the commitment to fully phase out coal, as part of that process. And absolutely, the regulatory framework to shut down coal has come into pretty dramatic relief, including most recently, the finalization of the coal exit law that defines a very specific program of elimination of coal as you generating resource across the German landscape, including shutting down about 44 gigs of coal that are operating on the grid today. And that's quite a significant opportunity for us. And so the framework, like you've seen elsewhere in other jurisdictions, initially provides for the mechanisms by which major generators can begin to evaluate conversions of these coal fired assets into alternative fuels like biomass. And so in parallel with that process, which has been underway for about the last 12 months or 18 months, but we've worked quite closely and collaboratively with a number of the major power generators and utilities in the German market to assess those important assets that are not only condensing power stations, but also combined heat and power stations that are very difficult to replace with intermittent renewables. And so biomass provides a remarkable opportunity for many of these generators. So we're pretty excited about it. The markets developing, kind of ride on path, and yes, we continue to remain in direct dialogue with several major generators and utilities in the market, and look forward to being an important part of their conversion plans.
Elvira Scotto: Great. Thank you for that. And another question I have is, in the U.S., if Biden would win the election, and if the democrats, take the House and Senate. And you know, Biden has been, pretty vocal about a transition to green energy, did you think there would be a bigger opportunity for biomass growth here in the U.S.?
John Keppler: It's quite an interesting question. Right? So as I read the Biden plan, and I think we should all acknowledge is still pretty early in the overall cycle. But as I read the Biden plan, they're essentially calling for the same net zero targets that we see in Europe today. So to the extent that -- that policy framework and that commitment to a net zero outcome remains part of the platform, I think, biomass like all renewables should see -- should see a benefit.
Elvira Scotto: Right. Thank you. And then just my last question is Enviva has done a great job. You did drop down, and that third-party acquisition in this challenging market, able to raise equity and debt. I'm curious, when do you think Enviva would be in a position where the partnership itself actually construct the facility versus drop downs from the sponsor?
John Keppler: So really, really good question, it's something that we think a lot about. And naturally, heretofore, we've been absolutely fastidious and ensuring that we've insulated the partnership from the development risks, from the construction risk and the commissioning risk of new large scale assets. During the course of the last year, we've begun to dip our toe a little bit in the waters is we have described as part of the North Hampton and Southampton expansions. And those we're very, very pleased with. And as we described in our prepared remarks, really begin in the commissioning these assets and the force of EBITDA potential that we see coming out of this is quite remarkable. As we think about the enterprise, as a partnership, we want to make sure that we are a sufficient scale, that we don't inadvertently change the risk profile the underlying business. And so we remain very committed to kind of sticking to our knitting. But we are very mindful of the opportunity and the potential to continue to develop as our scale gets bigger. And we tend to look at that as -- from a free cash flow basis and a DGF basis that correlates to around the time that we're in this sort of 300 million plus EBITDA range, but we're still a little ways away from that yet.
Elvira Scotto: Great. Thank you very much.
John Keppler: Thanks. All right.
Operator: Our next question comes from Marshall Carver of Heikkinen Energy Advisors. Please go ahead.
Marshall Carver: Yes, thank you. So those are dropped in volumes, with some revenue impact between the first quarter and the second quarter. I understand we're looking at the key that that was mostly third party volumes that fell off are those third party clients back online, are those the same plants that you've purchased? So that would now be internal flex?
John Keppler: No, thank you very much for the question. So just to clarify, there is not really much of a change in our total product sales. It's just that this quarter, during the second quarter of 2020, the providers of our sales were eligible to procured out of our selling produce pellets that we're producing throughout our production plant. As opposed to last year that we had kind of like more than average in line with previous periods we have that volumes of procured volumes from third-parties that substantially will eliminate during this quarter. So the procured volume for third parties are more designed to take opportunities when exist in the market and will typically deliver them into more of like a short term sales agreement as opposed to our normal portfolio of long-term off-take take-or-pay a contract. As you know, we have a much higher margin on produced volumes, as opposed to third-party fuel volume, which is now driving this quarter the higher adjusted gross margin per metric ton in overall total adjusted gross margin as a result higher EBITDA for this quarter compared to the same quarter last year.
Marshall Carver: So as you move to the third quarter would be procured volumes, step back up, or do you think those opportunities have dropped off with a change in the market?
John Keppler: Yes, no, I think it's a -- as Shai mentioned, you know, this is a part of our business on the sort of longitudinal basis, annualized. It's 10%, 15%. So we'll have some greater volumes and some quarters and some smaller in the others, but it does feel, you know, consistent on an annual basis, so you should see some reversion to that.
Marshall Carver: Okay, and on the take or pay agreements, have all the customers continued to take or if there are any deferrals or any cancellations of anything, because there could certainly be a 100% taking of the volumes.
John Keppler: So it's a mix across our customer footprint is you may be familiar with, you know, we work with all of our customers under our long term take or pay of that contracts and in some cases they want to accelerate shipments, in some cases they want to delay and in some cases they may choose to cancel a vessel. But as a taker pay concept suggest, you know we're paid a fee for the scheduling adjustments and we're paid a cost of cover, in the case of a cancellation that that cost of cover accounts for the difference between what the price of that customer's contract was compared to what we would have otherwise sold into a different customer. So you know, on any given period we'll have a mix of those are sometimes none of them.
Marshall Carver: Okay, and last question would be your -- I know your net income is expected to step up significantly in the back half of the year as per your guidance. Do you have any colour between the third and fourth quarters, if there are similar net income in 3Q and 4Q or would there be -- or would one be higher than the other?
Shai Even: Yes, I think it's a good question. So overall, as we discussed, we're expecting the second half of the year to be a significant step up compared to the first half of this. Kind of like consistent with prior year. And in general, we're expecting foreclosure to be stronger compared to the bottom.
Marshall Carver: All right, thank you.
John Keppler: Good to talk to you Marshall.
Operator: The next question comes from Pavel Molchanov of Raymond James. Please go ahead.
Pavel Molchanov: Thanks for taking the question. And you guys touched on Germany already, obviously an important topic. I actually wanted to ask about opportunities to the east of Germany in places like Poland, Slovakia, Bulgaria, very cold centric, electricity mixes. And now of course, the EU just approved the big stimulus including the energy transition funding. And I'm curious, if you anticipate, kind of Eastern Europe becoming an emerging markets for pellets from the standpoint of decarburization, as we've seen in the West.
John Keppler: So look, the Pavel you're spot on the, you know, Poland is a market that has historically had an important role from biomass to play, to mitigate the overall, as you as you pointed out, the overall preponderance of coal as its generating resource. So we tend to think that, you know, their participation in the EU and their commitment to favourably impacting climate change, biomass is going to play an increasingly important part of that. Coal-firing exists there today. We expect that to continue. There's obviously an important election coming up there. And as we look across both Czech and Slovakia and some of the other regions that, as you point out, are so dependent upon coal, that the convergence of the sort of green recovery with these countries participation in the greater importance as they contribute to mitigating the effects of climate change and achieving a net zero impact, we tend to think the biomass opportunities will continue to emerge there. Obviously, in some of those jurisdictions a little bit further off than what we see in Germany and perhaps Poland. But we're very mindful of those and with the European team we have in place and folks in, in Berlin today, they're paying attention, they're two
Pavel Molchanov: Thanks. That's helpful, you know, you also kind of flag the ESG attributes. This is a bit of a conceptual question. Can you just address the pushback that, as you're well aware, oftentimes gets raised regarding Telus, which is they're not Green enough because it involves, you know, forestry essentially chopping down trees for lack of a better word. What's your response to that kind of common criticism?
John Keppler: Yes, Pavel. Look, it's a good point right. There are folks in the environmental community that really are what I would consider to be more of a purist approach. And you say, you know, it's not green enough? I think every time that question has been asked, it's been answered in a highly pragmatic way, which you know, whether it was red one, red two. When you look at the jurisdictions like the Netherlands, we've undertaken a really deep dive into the science into the mechanics and into how countries around the world are going to are going to achieve their climate change objectives. You've got the Netherlands, the PBL, which is their equivalent of the U.S. EPA undertook a very extensive consultation with a broad range of stakeholders, including many of those that that you characterize as critics. And their conclusion was, well, there may be some inquiry into this. Not only can we not meet our long-term hindsight objectives without biomass, we actually have to use a lot more. And we have to do it in a way that is sustainably produced. And it was quite interesting they actually said, and in a way that tracks and traces every time with fiber, kind of just the way it diva does today. And so we're by that. Obviously, it's very consistent with what the UN IPCC has concluded about the holistic cycle between healthy growing forests that yield a steady stream of products that provide for everything from permanent carbon source in the sense of dimensional lumber and things like that, but also the byproducts. And again, no one's cutting down the tree for Enviva were that were the byproducts that is -- that find a high degree of utility in the aggregation and utilization of that resource as a displacement for coal. So you know, I think the -- I think every time the question has and continues to be answered, it's pretty favourable to the immediate impact that we can have on to the benefit of climate change in the environment.
Pavel Molchanov: Last question from my question from end is, you guys did a rare acquisition of a third-party assets. And I'm sure you're very selective when you do these things. Are you aware of any other kind of one-offs like this that might be, you know, for sale. You know, beyond the traditional drop downs for from their parents?
John Keppler: Well, Pavel you're right. We're highly selective in the way that we think about acquisitions. The if - -we're when we contemplate those, they really do have to be something special because you know, the proven track record that we have of developing assets upstairs at a defined building copy basis, fully contracting those and dropping them into partnership, we -- such high fidelity on the financial outcomes about how those plants work. It really takes something special. And so we are selective. Obviously, I can't comment on any process that we have underway. But we do those pretty rarely. And I think that when we think about the pillars of our growth, which are, of course, the underlying organic growth within the partnership, so drop down acquisitions, that third leg of the stool is just much less frequent.
Pavel Molchanov: Thanks very much, guys.
John Keppler: Thanks.
Operator: [Operator Instructions] Our next question comes from Brian Maguire of Goldman Sachs. Please go ahead.
Derrick Laton: Good morning. It’s Derrick Laton on for Brian. How are you?
John Keppler: Hey, morning, Derek. How are you?
Derrick Laton: Good. Good. Thanks for taking my questions. Just had one on, you're just kind of tagging on to the growth prospects. Appreciate all the details that you've given about what's going on in Europe, sort of related to that a one of your large customers announced yesterday, some plans to significantly accelerate the investments in the renewable side of their business. Just weren't any selves around that and maybe what the implications for maybe further growth in the wood products market, as a result of that?
John Keppler: Yes, no, we -- obviously, we've been very proud of the growth profile we've been able to continue to generate. And I don't think that any anything except tail winds is the way that we're looking at right now. The markets that we see around the world, Japan, elsewhere in Asia as well as our proven markets, the United Kingdom, the Belgium, Denmark, obviously, the Netherlands. And then the really interesting opportunities we've just spent some time on including Germany, Poland, some of the other places. We're pretty bullish, clearly the commitment around the world to a net zero to two fundamentally changing. What has historically been a very difficult equation to solve that between energy and environment, our ability to make a meaningful impact today, and the customer inbounds in the pipeline that we've assembled lucidly that we're right on track, and don't see any diminishment of those opportunities.
Derrick Laton: Thank you, that. And then just maybe one around the quarter, the $9 million payment that you got from the customers. Just curious if you incurred any additional logistics costs or anything associated with those modifications, or did that effectively dropped to the bottom line? And then, related to that, just, if you guys could get some sense for maybe the tones that were impacted in the quarter, whether it was to take or the pay on that and how we should be thinking about volumes in the back half of the year, was it maybe 100,000, 150,000 tons maybe the right way to frame, the lost currency or that you just got compensated for.
John Keppler: Yes, and I think as Shai commented earlier and I think was we answered in one of our previous questions. The scheduling line and when you look at that in the other revenue line, that's a mix of payments from customers, including those that accelerate or delay and as you point out and some fees cancel, but that taker pay component means that really what we're doing is a cost of cover payment relative to volumes that we then sold into existing customers is the Delta that you see reflected there. So you would not have any incremental costs, nor do we necessarily see a volume trade off against that.
Derrick Laton: Okay. Great. Thanks for the details there. Good luck in the quarter, guys.
John Keppler: Derek, thanks so much. Great to hear from you.
Operator: There are no more questions at this time. This concludes the question and answer session. I would like to turn the conference back over to John Keppler for any closing remarks.
John Keppler: Cool. Thanks, everybody, for taking the time to join us again. today. We we're privileged to be in the position that we are in and we believe we have a responsibility to keep it up. I'm looking forward to connecting again next quarter and I would ask that in the meantime, we all continue to please stay safe, and please stay healthy. We are all in this together. And together we will all get through this. Thank you so much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.